Operator: Good day, everyone and welcome to the Streamline Health to report Second Quarter 2017 Financial Results Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to Randy Salisbury. Please go ahead.
Randy Salisbury: Thank you for joining us to review the financial results of Streamline Health Solutions for the second quarter and first half of fiscal year 2017, which ended July 31, 2017. As the conference call operator indicated, my name is Randy Salisbury. I'm the Senior Vice President and Chief Marketing Officer here at Streamline Health; I manage all communications including Investor Relations. Joining me on the call today are David Sides, our President and Chief Executive Officer; and Nick Meeks, our Senior Vice President and Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full text copy of our press release announcing these results, you can retrieve it from the company's Web site at streamlinehealth.net or at numerous other financial Web sites. Before we begin with prepared remarks, we want to be sure we are clear for everyone on the record of certain information which maybe provided today as with all of our earnings calls, should be viewed. We therefore submit for the record the following statement. First, statements made on this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those we may discuss. Please refer to the company's press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K Annual Report for more information about these risks, uncertainties and assumptions and other factors. As always, we are presenting management's current analysis of these items as of today. Our participants on this call should take into account these risks when evaluating the topics we will discuss. And please note, Streamline Health is not undertaking any commitment or obligation to publicly revise any such forward-looking statements made today. Second, we will discuss non-GAAP financial measures such as adjusted EBITDA. Management uses these measures to help provide better insight into our financial performance. However, certain items of income and expense are not included in these measures, so these calculations may differ from those which another entity may reach using their own non-GAAP measures. To help you compare these amounts on consistent terms, please refer to our Web site at streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. With that said, let me turn the call over to David Sides, President and Chief Executive Officer. David?
David Sides: Thank you, Randy, and good morning everyone. This morning I want to comment on our second quarter first half of fiscal year 2017 performance. And as usual look at our third quarter performance to-date and comment on what we anticipate seeing for the remainder of our fiscal year. As released yesterday afternoon for the second quarter of fiscal 2017, we generated revenues of approximately $5.9 million same as the first quarter of this fiscal year. We projected during our Q1 earnings call back in June that we believe we had arrested the downward trending revenue as a result of the impact of last year's client attrition and the revenue reduction in the trade-off from selling our patient engagement solutions as compared to adding our coding audit services. Our second quarter revenue performance proved this to be the case. Second quarter revenue was down approximately 7% as compared to the same period a year ago when including $1 million of perpetual license revenue in that quarter. It continues to be difficult to predict the timing of perpetual contract execution primarily through some of our channel partner relationships, but we identified opportunities in the reseller pipeline that we believe will generate material revenue contribution before this fiscal year is over. Recurring revenues were 82% of total revenue for the second quarter about the same as last quarter. Turning our attention now to professional services, revenues were approximately $570,000 in the second quarter, an increase of approximately 36% over the first quarter of this fiscal year. This was primarily due to additional service hours sold to existing ECM coding in TDI clients as well as the completion of several milestone projects that had been in the pipeline. Our bookings for the second quarter of 2017 improved over Q1 to $1.1 million and consisted primarily of new auditing services clients as mentioned in our press release yesterday and additional professional services as well. We continue to be pleased with the addition of new clients which are the life blood of any organization. In all of last year, we secured four net new clients to our roster, so far through the first half of this fiscal year, we've added six net new clients to our roster, two in the first quarter and four in the second quarter, and have added two more net new clients in the first month of our third quarter. We have a total of eight net new clients year-to-date. More specifically in the second quarter, we closed new clients like Aurora Health, a Boston-based network of 25 physician practices throughout the United States and for whom we will conduct hierarchical condition criteria audit known as HCC audit; Union General Hospital in Louisiana to whom we will conduct inpatient, emergency department, and outpatient audits, and St. Francis Medical Center a 300-plus-bed hospital in Missouri for whom we will also conduct inpatient, emergency department, and outpatient audits. Looking ahead to the second half of our fiscal year, we continue to believe that our bookings projections will improve and we will see new bookings from our direct sales efforts flows through existing and new reseller partners such as an expanded reseller agreement with Optum which we signed just a couple of weeks ago. This new agreement will enable Optum to bundle our abstracting software solution into their existing computer-assisted coding offering. This expansion is initially anticipated primarily for their existing base of more than 400 CAC clients and of course any of their new prospects. We are also seeing activity under the reseller agreement we completed this past spring with Allscripts as anticipated. As mentioned before, we expect the bulk of any Allscripts client deals to be in the form of a perpetual license to have a more immediate impact on revenue, cash on our balance sheet than standard term license sales. I should point out that Allscripts recently announced its intended acquisition of McKesson's Health IT unit. If that transaction closes later this year as reported this effectively doubles Allscripts’ footprint among U.S. hospitals by combining McKesson's Paragon product for small hospitals with Allscripts’ owned Sunrise EHR system for larger hospitals. We are hopeful that this new expanded client base will enlarge the total selling opportunity we have with our Abstracting software solution through Allscripts. As stated last quarter that we were in active contract negotiations with multiple healthcare systems and that we anticipated closing our first eValuator deal in the second quarter. While given that our industry is not known for quick purchase decisions or adopting new technology quickly, we didn't close our first eValuator client until August instead of July. But as previously announced, we've signed a new deal in Q3 of this year with South Shore Hospital in Chicago, and we anticipate selling our new eValuator cloud-based automated pre-bill software solution in the coming weeks to additional clients and prospects. And we have also sold in the third quarter our financial management software solutions to Nobilis Health. They will deploy it to aid them in their focus on accounts receivable management. Adjusted EBITDA for the second quarter improved as expected by nearly $1 million over first quarter of this year to approximately $0.5 million. The improvement in adjusted EBITDA in the second quarter was derived by several actions taken in Q1 by just making improvements in our own systems using our AR reserves and bad debt as appropriate, capturing almost all of our annual audit expense in the first quarter only. In GAAP terms, our net loss for the second quarter was $1.1 million down from $2 million in Q1 of this year. Nick Meeks, our CFO will address these items more specifically in his prepared remarks coming up in a few minutes. Every quarter, we state that we are always focused on reducing operating costs, generating incremental cash flow, reducing our level of bank debt. One area in which we believe we can be more efficient is in the use of various datacenters. We are currently pursuing an effort regarding backup data at rest and in-motion, which will enable us to decommission one of our remote datacenters. Moves like these will help reduce cost also supporting our strategy of leveraging best practices with regards to data management. At the end of the second quarter this year our cash on hand decreased from the previous quarter almost to the penny as our debt declined. Our cash on hand was approximately $2.9 million a reduction of approximately $700,000, while our debt was reduced from $5.6 million to approximately $4.8 million. Part of this debt reduction was mandated by the sale of our scheduling assets back in December. Going forward we do not anticipate paying down our bank debt as such an accelerated rate. We continue to anticipate that the amount of cash in our balance sheet will increase in subsequent quarters as it has in years passed with our fourth quarter being the most productive at building cash. We are just five months into the process of refocusing our company to better help our clients and prospects with the middle of the revenue new cycle processes. We have a particular phrase we'd like to use with prospects, it's on our Web site, which is we help transform revenue cycles into revenue streams, because that was all about for primary purchase decision-makers. CFO's, revenue cycled managers and HIM directors are under increasing pressure to improve their organizations financial performance. As a CEO, I can see signs of improvement in our performance in many areas. Operationally, we are working better as a team across all facets of our business, from our CDI and coding technology, to our legacy HIM software, our development teams have made improvements to our offerings in a more timely and in a more efficient manner. And the creation in go-to-market launch of eValuator was accomplished in less than five months and with this appointment of machine learning, we can see eValuator getting better and more proficient, more we have patient bills running through it. We've talked a lot about eValuator, I planned to do so again in a minute, because we really do see it is an industry game changer. I am also pleased to see our sales pipeline include opportunities for all of our technologies. From clinical analytics to CDI and coding, the more potential for our financial management and business analytic tools, the number of product demonstrations and proposal request is up this quarter over last. Currently we have over 100 active opportunities in our sales funnel with more than 20% coming from our existing client base. With these metrics we believe we can close more eValuator deals in this quarter and more than that in Q4. Added this to the positive growth signs we see in our reseller channel and that adds up to multiple sales opportunities for many of our services and solutions heading into the second half of this year and on into 2018. Now let me comment more specifically on eValuator, with this new innovative software we see ourselves as leading in industry movement, improve healthcare providers financial performance and moving mid-to-late revenue cycle interventions upstream, optimizing coding accuracy for every patient encounter prior to bill submission. Fact remains that our target buyers are under increasing financial pressure. I've mentioned before the centers of Medicare and Medicaid services, CMS reported that 10% of Medicare fee for service claims submitted are denied. With many of those denials this whole thing invalid codes or incomplete or invalid information. Today almost every hospital in the country determines their level of coding and payment accuracy after the fact by conducting post billing audits. These retrospective audits often comprised of cases selected randomly that at best only look at 1% to 2% all coded and billed patient encounters. From this limited look back hospitals try to close accuracy gaps to maintain CMS' inpatient coding accuracy standard of 95%. Few hospitals reached that goal today yet disposed bill audit practice is the accepted method throughout the industry. In fact, Donald McGruder, the Chief Information and Revenue Integrity Officer of our newest eValuator client, South Shore Hospital in Chicago, that he was intrigued to say that at least and we approached him with our idea analyze all of his patient records after coding but before billing. It was the assurance eValuator could provide and that made the difference. He said “The idea of using eValuator is being every coded record for potential errors in real-time or billing made perfect sense”. He doesn't think it will be long before every hospital look to improve their coding accuracy and checking their work before billing instead of long afterwards, we agree with it. We stated before that in our industry referenceable clients are a must, we continue to believe that as we gain a foothold with clients to experience a strong return on investment in eValuator to leverage their testimonials help us accelerate the pace of closing new eValuator agreement. Stated this last quarter but I think it bears repeating. We believe like many other business practices before that were the accepted way of doing business until they weren't and this path line for our industry to change this post bill audit practice. Our Streamline Health eValuator solution enables hospitals to move accuracy evaluation from the back to the front of the cycle for any patient cases released for billing. This solution can score the accuracy and financial implications of inaccuracy for every encounter rather than a sampling using a sophisticated set of algorithms and rules. This can reduce incorrect payments and denials, help to mitigate potential risk. As important, we might help the eValuator can provide the coder a immediate feedback that can help them improve ongoing coding accuracy and coder education, that allows the client to better identify correct trends and patterns, coding and clinical documentation practices. And yes, key performance improvements and sustained revenue cycle best practices. Market opportunity for this industry movement is large and can be approached in phases. Phase one where we are today is to offer eValuator to hospitals focused on their inpatient coding and billing performance. This is where the biggest individual revenue opportunities lie. We believe the total market opportunity in this sector is approximately $320 million just a small percentage share of this marketplace would be an incredible contribution to our revenue stream. As a pure cloud-based SaaS offering this incremental revenue stream is a highly attractive economic model for our company and for our shareholders. Once our eValuator revenue stream is meaningful, we will consider breaking it out individually to better eliminate its growth rate and contribution to our company's enterprise evaluation. Second phase is to offer eValuator for outpatient coding and billing performance. In this category, they are usually many more patient records; the average dollar amount per record is smaller. It has more hospitals that have expanded into outpatient clinics and facilities, their needs for this capability have grown us well. We estimate the market opportunity in this space is approximately $0.5 billion and we anticipate rolling out our eValuator solution for outpatient records later this month or early next. Final phase addresses professional services practices, doctor visits et cetera for the volume of patient bills is exponentially greater than in the inpatient sector, the average invoices are usually the lowest of the three sectors. Our client is offered this eValuator capability at the end of this year or early next into 2018. We believe the market opportunity of this sector is approximately $350 million. In capitalizing and capturing even a small percentage of this market can have a material impact for us. The benefits of our cloud-based automated pre-billing technology are many and easily measured in all three phases of use. We can execute on this strategy, our eValuator solution will enable hospitals, outpatient facilities and physician practices, it greatly improves our coding practices, and potential benefits like cutting their days in AR, improving their cash on hand, do some number and dollar amount of patient bills being denied by payers and reducing the need for post bill audits. We believe we can accelerate the pace of decision-making to gain more users, we know that unlike other technology, our SaaS solution is designed for a very like deployment, which shouldn't take more than one month to implement for a standard bill life. So, time to revenue with eValuator, which should also be much quicker as compared to our other technology. This chart illustrates our new eValuator cloud-based automated pre-bill auditing software only requires a healthcare provider to install lightweight VPN client and then simply send us the copy of their billing HL7 messages. We estimate it will require no more than 10 hours -- our client's IT department's time to configure to our specifications and the client can be realizing the benefits of the eValuator solution in 30 days of contract signing. I will now turn the call over to Nick Meeks, who will provide greater detail on our financial results for the [first quarter] [sic] second quarter. Nick?
Nick Meeks: Thanks, David, and good morning, everyone. As always allow me to begin by thanking my team, the whole of Streamline Health and our auditors for a smooth reporting effort. Getting with the income statement, David has covered revenue and EBITDA. I would first note that equity-based compensation was the only material adjustment to EBITDA in the quarter. Operating expenses were down both year-over-year and quarter-over-quarter. Expenses were managed down almost universally with D&A and R&D both decreasing by at least $500,000 relative to the same quarter last year. The $1.1 million net loss for the fiscal second quarter includes $1.4 million of non-cash depreciation and amortization. Moving on to the balance sheet, we finished the quarter with approximately $2.9 million of cash on hand that represents just short of $0.5 million in cash generated from operations in the quarter. That cash was then deployed to make a debt repayment of the same amount on our term loan. The requirement for that pre-payment arose with the divestiture of our scheduling assets in the fourth quarter of fiscal year 2016. No further special pre-payments on the term loan are on the horizon and the closing balance of the term loan at the end of the physical second quarter was down to approximately $4.8 million. I would also note here that in the coming quarter, we will fully retire our last non-real estate capital lease. With respect to future visibility, backlog decreased over the end of the first fiscal quarter by approximately $1.5 million to $46.5 million. As I did on the last call, I'd also note here that due to the variable nature of some of our audit services engagements, we only recording backlogs those agreements with clearly definable backlog terms. That concludes my remarks. I will now turn the call back over to David Sides. David?
David Sides: Thank you, Nick. Before I open the call to questions, I want to comment on the selling process behind our eValuator solution. Some investors have asked why our sales take so long given the powerful return on revenue we can demonstrate with this new solution. Certainly, we have learned a great deal of how to sell eValuator and to whom over the past six months. We are still learning. Understand the return on revenue benefit that our eValuator solution brings to the table as opposed to the more traditional return on investment, we talk about how eValuator can help clients with their revenue integrity, which really means for the full amount allowed on ICD-10 codes patient care delivered, at the same time make sure their client doesn't over bill for the patient care delivered. Mitigation of revenue risk is a very real benefit of our eValuator capability. Our revenue cycle directors or managers, the eValuator benefits are very similar to that of the CFO not leaving money on the table through under coding by improving the accuracy of the bills going out the door, used in our rates, improve accounts receivables. Our HIM Directors, eValuator message is best understood when we focus on how the solution can help make coders more proficient. Most of HIM Directors or managers don't like to confront the fact that their coders may not be performing well, the most common guide post is the CMS published target of 95% coding accuracy, which will help our providers attain today. We focus our presentation on the ongoing bill time training coders can get every time they submit a coded record to eValuator. Percentage of potential error for any code submitted is low, bills acceptance and sent for payment and the coders simply moves on to the next case. The percentage fair is projected to be high meanwhile 50% or greater, coding each client can set their own parameters there and the coders guided as to where the potential issue maybe and is advised as to how to correct the code and resubmitted to eValuator. This capability is a good selling point for most HIM personnel. We also kept an eye toward the ever expanding world of IT departments within healthcare provider organization. We continued to design eValuator to allow for a simpler implementation, help avoid unnecessary lift or time drains with the client's IT department, we [offer our] [ph] strap for both time and resources. We include in presentation the slide we showed you earlier demonstrates how simple it is to get up and running with the eValuator, how little involvement we typically need with our eyes over burden and under staffed IT department. Clearly, we are excited about the eValuator solution. We are investing accordingly. However, no way that meant to say that our other services and solutions aren't realizing success in the marketplace. I can [turn into] [ph] believe that there is great growth potential for many of our company's offerings going forward. I want to pause at this point as we are now halfway through our fiscal third quarter. We are not on the run rate to reach our revenue guidance for this fiscal year. Even though I remain optimistic regarding the prospects for Streamline's financial performance primarily driven by the interest we are seeing in eValuator. Volume of new clients engaging with us for audit services and the scale of opportunity represented by our channel partners, I feel it's only prudent to revise our guidance for the fiscal year to $26 million to $27 million. The potential upside from that number, it's on channel partner activity. The reasons for this adjustment are centered primarily around three key elements of our growth projection. First, how we have captured almost 10 new audit services clients since our acquisition of the Opportune IT business this time last year. The average size of those engagements has been smaller than we anticipated till the pace of recovery audit contractors RACs picks up to the level the industry was experiencing before the move to ICD-10 codes, healthcare providers are not feeling the need meaning pressure to conduct larger more broad scale audits. For the positive side, we are seeing repeat purchases from this client base, ultimately have audit services contribute to Streamline's growth in the manner I feel confident that it can, we will have to continue to accelerate the pace of which we sell into new clients, maintain a strong client management program, ensure that we capture the maximum available wallet share for audit services. Second, while we assign our first eValuator client, we deployed various new incentives to peer group of early of doctor clients that can serve as a reference for future sales. As such I'm expecting a measured financial impact from eValuator client this fiscal year, ramping up rapidly through fiscal year 2018 as sales success compounds. Third, we just last week expanded our Optum relationship and are bullish on the prospects of that relationship given the size and scope of their current VAC client base. Further, Allscripts recent acquisition and some of McKesson assets while potentially distracting in the short-term and expand the potential address with client-base with that partner as well. While we continue to anticipate that we realize the meaningful potential license revenue deal, it's one of our larger reseller partners that revenue contribution is not in our control, which has always been the case. Given the impact of these factors, we have lowered our go-forward estimate quarterly. That said our strategy going forward is exactly the same. First, we are working on coding accuracy with our eValuator solution for inpatient and outpatient and then professional services. With that experience, we think we can then take that knowledge, grow our work with machine learning, start to automatically code cases going forward in reverse order starting with the simpler professional services and outpatient and then building inpatient services. We will have the ability to check accuracy and the auto-code based on experience from there. We think this will be a transformative way to increase the efficiency of coders in computer coding fair to the industry's current computer-assisted coding. We are making meaningful progress there and we will continue to update you in the next quarter's calls. That concludes my prepared remarks. Before turning the call over to the operator, I want to thank our Streamline Health associates for their continued hard work and dedication to our clients, to our shareholders and to each other. I will now turn the call over to the operator for a Q&A session. Operator?
Operator: Thank you, sir. [Operator Instructions] We will take our first question from Matt Hewitt with Craig-Hallum Capital Group.
Matt Hewitt: Good morning, gentlemen. Thank you for taking the questions.
David Sides: Good morning, Matt.
Matt Hewitt: First up, let's dig into this guidance a little bit, so, is this incorporating the larger perpetual deal or has that been trimmed from the current guidance?
Nick Meeks: It still has some perpetual in it. We actually have an opportunity for multiple perpetuals and have line of sight on a couple of them. So, it still has some perpetual in it, but maybe a little bit less than before and a lot of the reductions from the audit services and just the run rate so far this year where we haven't gotten as much there as we thought we would due to the deal size and some delays - of starting audits.
Matt Hewitt: Okay. And specifically within the perpetual that, I think previously, you anticipated one large deal yet this year, I think you have signed one a year for the last couple of years through Optum360, is that what's basically come out as you call it a million, $2 million perpetual deal from them. And then, the smaller auditing contracts, is that the delta?
Nick Meeks: Yes, essentially. Yes.
Matt Hewitt: Okay. All right. Thank you.
Nick Meeks: We think we will have perpetual this year probably in Q4 but we've got actually good line of sight. There are several opportunities. We just need one of the several to come through.
Matt Hewitt: But, that's to hit the 26 to 27?
Nick Meeks: Yes. So, if multiples comes through, then you will see us exceed.
Matt Hewitt: Okay. Okay. Fair enough. Regarding the Allscripts relationship, I mean I understand that there may be some distraction with the pending acquisition, but walk through those -- the opportunity there that the pipeline and maybe explain why it's taking a little bit longer to get some of those deals closed?
David Sides: Sp from a pipeline perspective, we are really excited about the Allscripts relationship especially given their expansion with the McKesson Paragon solution as well, so now they have essentially twice as many clients in need of our abstracting Physician, Queries solution. So, we signed that deal in Q1. So, we have been working through demos with some of their client base. We think we are a good fit for that base. I think the acquisition of both the Nant assets and the McKesson assets that in kind of short order, completed both of those within the last 90 days, has obviously taken appropriate focus from them, which has maybe slowed down our deal a little bit. But, we think that will pick back up and we have got some near term opportunities with them, where we’ve spoken with their clients and we are going to work through how we implement those that should be completed here in the very near term.
Randy Salisbury: Matt, this is Randy. I would add to that by saying that the first one, we can tell that it's always the hardest because it's setting up the new paradigm, right, so you work through the service people, you work through the implementation teams. And that’s what we have been doing on their first prospect as David just mentioned. So, I think we shall see that here soon and hopefully that will break the dam and establish procedures that others can follow to say, okay, we know what to do and how to do this mostly on the opposite side, and not our side.
Matt Hewitt: Okay. Thank you. Maybe two more, one, thank you for providing the detail on the eValuator specifically kind of breaking down the market opportunities there. How should we be thinking about average deal size for those respective markets?
David Sides: I mean it varies on the size of the client obviously but the -- I think the average deal size will be somewhere between $100,000 and $400,000 depending on the size of the organization or hospital per year. So that is kind of annual figure we price it by encounter because that's where we see the value, so you run things through. We say this is good or not good and then move from there. So that's kind of the average deal size we expect to see.
Matt Hewitt: Okay. And then, one last one, Nick, there was a little bit of a pop here in DSOs, was that just a function of timing or how should we be thinking about that metric going forward? Thank you.
Nick Meeks: Yes, Matt. I don't think it was any special disruption. We had decent collections not -- it's never as good as I want them to be but decent collections in the quarter to be the way that the invoicing cycle just happen to fall is, we had a spike in invoicing in the last month of the quarter, which pushed up AR a little bit.
Matt Hewitt: Fair enough. Right. Thank you.
Operator: [Operator Instructions] We will take our next question from Frank Sparacino with First Analysis.
Frank Sparacino: Hi, guys. Maybe first, can you just talk about the Nobilis deal in terms of -- who the competition was there, how that came about?
David Sides: So, it was a deal that we found through some of our revamped fleet generation activities of our Web site, outbound calling and others. We were competing with Craneware and some other established players in that space. We think we still have some really good and we made some improvements to the business analytics software as we have gone to really differentiate it on the way that it is efficient for people to use our workflow. So for example, if you are trying to do accounts receivable management and a payer doesn't pay till day 62, we set up rules that say don't call until day 62. And so, when you are actually working that queue, you don't need to see it show up even though it maybe 59 days over due where other people’s software will show 59 days overdue, they will call, there is no response because they don't pay till day 62. So call on day 61 is too late, wait till 63. And so, it's a good deal for us, we like working with them. There is a good opportunity there. We think we can grow that business substantial. So, this is just for less than about a third of the existing facility, which already kicked that project off, should be live by the next call or soon after and from there we want to get the opportunity and earn their business to get to the other seven or 10 hospitals. So, this is a deal that we really like. And it's the one we think that probably double or triple over time.
Frank Sparacino: Thanks David. And maybe one more, you need some reference to side of the pipeline in terms of number of opportunities. Any way for us to sort of calibrate that, I mean how did that compare to six months ago or 12 months ago just trying to get a better sense of lead generation sales activity?
David Sides: So, I have to look at the numbers and get it for sure. But, it feels 25% or 30% more than more it was say six months ago. I think a lot of that is driven by bringing the new solution to market. So, the new eValuator solution is one that we think as a lot of legs. And I think you will see a sign of more this quarter than more again next quarter. It's a higher quality pipeline from a new business perspective, you have seen us sell additional new clients, which for us is really good news, I think I talked a little bit about our land and expand, we have seen that with one of our first clients that we signed in Q1 an additional business with them and now they are a very near term eValuator, we think client. And so, that quantitatively I would say 25% to 30%, qualitatively I like that there is a better slab to new business in the pipeline maybe there was before.
Frank Sparacino: Great. Thank you.
Randy Salisbury: Thanks Frank.
Operator: And that does conclude the question-and-answer portion of today's conference. I would like to turn the call back over to Mr. Randy Salisbury for additional or closing remarks.
Randy Salisbury: Thank you, again, for your interest and in support of Streamline Health. If you have any additional questions or need more information please feel free to contact me directly at randy.salisbury@streamlinehealth.net. We look forward to speaking with you all again in December, when we will discuss our third quarter 2017 financial performance. Good day.
Operator: And that concludes today's presentation. Thank you for your participation and you may now disconnect.